Operator: Good morning, and welcome to the Mosaic Company's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] And now I'll turn the call over to Mr. Jason Tremblay. Please go ahead.
Jason Tremblay: Thank you, and welcome to our second quarter 2025 earnings call. Opening comments will be provided by Bruce Bodine, President and Chief Executive Officer; Jenny Wang, Executive Vice President, Commercial, will then cover the market update; and Luciano Siani Pires, Executive Vice President and Chief Financial Officer, who will review the financial results and capital allocation progress. We will then open the floor for questions. We will be making forward-looking statements during this conference call. The statements include, but are not limited to statements about future financial and operating results. They are based on management's beliefs and expectations as of today's date and are subject to significant risks and uncertainties. Actual results may differ materially from projected results. Factors that could cause actual results to differ materially from those in the forward-looking statements are included in our press release published yesterday and in our reports filed with the Securities and Exchange Commission. We will also be presenting certain non-GAAP financial measures. Our press release and performance data also contain important information on these non-GAAP measures. Now I'd like to turn the call over to Bruce.
Bruce M. Bodine: Good morning. Thank you for joining our call. I'll start with an overview of our performance and outlook, then Jenny will provide insight into the markets, and Luciano will discuss details of our earnings. Our key messages for today are: First, our hard work to improve operating performance is paying off. It's apparent in our Brazil results, and we expect to see improvements in our U.S. phosphate production business now that the vast majority of our work to enhance reliability is complete. Second, the market environment remains strong with tight supply leading to very strong phosphate margins and rising potash prices. In fact, we raised our full year potash production to capture strong demand. Third, the cost reduction efforts we've been pursuing in Brazil have led to a strong first half of the year and we expect earnings growth to accelerate in the remainder of 2025. And fourth, our extensive market access continues to be a key competitive advantage for Mosaic. The current market situation demonstrates this point with some unevenness in the Americas, there is still more than enough demand around the world for all the tonnes we can produce. We have the agility to send tonnes to markets where demand is strongest. To cover our second quarter results, we generated net income of $411 million and adjusted EBITDA of $566 million compared with a net loss of $162 million and adjusted EBITDA of $584 million in the same quarter of 2024. The factors that drove earnings lower are behind us. And across the business, we are poised for a strong second half of 2025. Potash and phosphate markets are tight, and we are maximizing production to benefit fully. We see no signs of a second half price reset that has occurred in the past few years. The global phosphate market has been tight for 2 years now, and we do not expect that to change in the near to medium term. even with the additional supply we expect to provide to the market. All of the supply and demand dynamics we've been discussing remain in effect. While China recently resumed exports at a low level, Chinese exports remain restricted as producers there meet domestic demand for agriculture and growing demand for industrial uses. Global farmer demand for phosphate fertilizers remains robust. As an example, Indian importers have come back to the market with increased government support and are now working to meet 2 years' worth of pent-up demand. Also remember, there is not much additional capacity that is expected to come to the market over the next few years and announced projects take quite some time to come online. Put simply, there is not enough phosphate fertilizer available to meet demand, and we expect this dynamic to continue well into 2026 even if there is some demand deferral in the Americas. In our business, our work to fortify our U.S. phosphate assets to maximize future production took longer than we expected but there is no more planned maintenance that would impede us from reaching our target run rate of 8 million tonnes per year. To provide more detail, our extraordinary level of work is complete at Riverview in Louisiana. Our Bartow plant has been operating at target rates for a couple of months. And in New Wales, where installation of our final new gypsum pumping station was delayed. All 3 new stations are complete. We are now returning to our normal cycle for turnarounds. Our third quarter sales volume guidance of 1.8 million to 2 million tonnes reflects our confidence in our strengthened assets. Our annual guidance for phosphate production is now 6.9 million to 7.2 million tonnes, reflecting the more extensive maintenance downtime we experienced in June and July. It's also important to note that as our volumes improve, so do our unit costs, we expect to reach our Analyst Day per tonne cost targets later this year. In potash, the market has evolved from balanced to tight. Maintenance activities at multiple producers around the world have reduced near-term supply and demand remains strong, underpinned in part by continuing high palm oil prices in Southeast Asia. We are running hard to meet demand and benefit from the market conditions. The second quarter turnaround at Esterhazy is complete and we plan to run our Colonsay mine at least through the end of this year. As a result and to meet very strong global demand, we have increased our annual potash production guidance to 9.3 million tonnes to 9.5 million tonnes. We're feeling very good about our business in Brazil, too. While credit issues are persisting, we expect fertilizer demand to remain strong and supply limited. As a result, we anticipate EBITDA from the Mosaic Fertilizantes segment to push higher from the strong levels we've seen in the past 2 quarters. Before Jenny provides more details on the markets, I'd like to highlight the important competitive advantage our market access brings to Mosaic. The new Palmeirante facility, which was inaugurated last month, adds 1 million tonnes of distribution capacity in the fast- growing northern region and reinforces our market-leading presence in the country. We also continue to leverage our market access to grow the Mosaic Biosciences business. First half revenues for Biosciences more than doubled compared with a year ago. We expect Mosaic Biosciences to contribute positively to adjusted EBITDA beginning in the fourth quarter. Finally, a note on capital allocation. We're continuing to make progress on our work to reclaim capital so that we can deploy it in pursuit of better returns. The hydrofloat project and the new Palmeirante facility are good examples of this. We hope to have news on the processes we've announced, including Carlsbad and Taquari in the near future. At the same time, we are expecting stronger free cash flow in the second half of the year, which would allow us to pay down debt and return capital to shareholders. All in all, we have made important and substantial progress this year and we are in excellent position for a very strong second half of 2025. Now I'll pass the call to Jenny.
Yijun Wang: Bruce highlighted strong fertilizer market fundamentals. Before I dive deeper into the phosphate and potash market, I'd like to address the recent pressure on ag commodities and why we are still upbeat on global agriculture. Commodity market has been pressured by both trade and macro uncertainties as well as the record safrinha harvest in Brazil and the potential for a record U.S. crop this fall. However, as we mentioned before, ag fundamentals remain positive across much of the world, including in many of the key geographies where we operate, global ag market, continuously, to be supported by strong demand including support of new biofuel policies in India, Brazil, Indonesia and the U.S., which supports ag market in the long run. The headwinds we see in certain geographies related to fertilizer affordability will necessarily trim some demand, for example, in Americas, but this provides a tailwind to demand in the future as growers will need to replenish their soil nutrients. Specifically on phosphate, prices have steadily climbed this year with a strong demand that is constrained by supply. And despite higher prices and the lack of available supply that may result in some demand deferral, global shipments are expected to approach a new record. The most notable factor on supply side remains China, which have returned seasonally to the export market, though we anticipate a further reduction in high-analysis phosphate export this year. As the country limits export quarters in support of the domestic market and industrial phosphate production. On the demand side, government financial support has energized Indian buying at higher prices. While we expect growth in India shipments this year, supply constraints will likely leave India face another year of pent-up demand that bodes well as we move towards 2026. In North America, summer fuel was earlier than expected, given the empty pipeline and fewer imports, were largely sold out for the quarter and at higher values than spring season. Import supply is down around 20% year-over-year, given tariffs on most of the oranges and these volumes are expected to stay subdued. This means that even there is meaningful demand deferral at the grower level this fall, there should be ample demand for Mosaic's products. While in Brazil, we are expecting another fertilizer shipment record this year, with inputs up sharply in the first half to meet the demand. With no significant price reset expected in the near term, we expect stripping margins to remain elevated as sulfur prices appears to have stabilized and ammonia looks like it could soften through the balance of the year. Longer term, we anticipate elevated stripping margin will continue as solid fundamentals carry into next year. As I mentioned, we like to again see pent-up demand as we enter 2026 driven by demand deferral this year and limited channel inventories. On the supply side, new capacity takes time to build and won't feature meaningfully until at least 2027. On top of this, we expect China to continue to reduce export availability as independent projection for LFP demand through 2030 exceed even our own projection. In the case of potash, the market shifted from balanced to tight in the first half of this year, and we anticipate prices to hold around current levels, driven by what could again be a record global shipment. Global supply is now feeling the effects of the announced maintenance in Russia and Belarus, the slowdown in Laos expansion and lower production from China and Chile. Regarding demand, U.S. customers indicate it will be about normal for full season despite prices that are higher than last year, given they still find good value at these levels. Like phosphate, offshore potash imports are also trading last year, further tightening the domestic market. Brazilian demand has also proved resilient in this higher-priced environment, with inventories near normal despite higher input so far this year. Finally, annual contract in China and India was signed about $65 per tonne higher than last year. With this expected healthy baseload of contract market offtake, plus a continued strong pull from Southeast Asia, where solid grower economics are supported by elevated palm oil prices. We believe that supply and demand will remain tight in the near term, limiting any late year seasonal price resets that usually we experience. Let me pass things over to Luciano, where he will dive deeper into financial results, our strategies and the capital allocation.
Luciano Siani Pires: Good morning. This was a very unusual quarter in terms of results with a lot of noise. We encourage you to see the underlying performance of the business through the numbers and also see why we believe Q3 performance will be amongst the strongest in many, many quarters. First, on net income. The notables were actually on the positive side. The U.S. dollar lost value compared to most currencies, including the Brazilian real, the Canadian dollar. So there was a reversal of the foreign exchange effects experienced in previous quarters, a total of $220 million. In addition to that, we had a gain of $216 million in the market value of our modern shares and with these 2 main effects, net income was $411 million compared to a net loss of $162 million a year before. Second, on EBITDA. Well, you saw we had these larger than usual provisions that amounted to more than $60 million on a net basis. Most of these do not have any cash effect in the quarter. And some also will not have cash effects going forward, such as, for example, the bad debt expense, the inventory adjustments, one asset write-off, but some will, some will have a cash component. For example, we recorded $8 million in environmental reserves for future remediation at our Taquari potash mine. We recorded $4 million for legal reserves. So we had a number of net unfavorable items that all came together this quarter. And while we always have some level of this kind of activity, it was quite large. We don't expect to repeat this level in Q3 and Q4. Just a note on bad debt. The $30 million bad debt expense in Mosaic Fertilizantes, we had with a single customer, it is 90% backed by insurance. So we expect recoveries going forward. Indeed, for example, this quarter, we collected $50 million related to a bad debt expense booked in Q3 last year. Also on EBITDA, you can see that all the work of turnarounds that we talked extensively cost us money, a lot of money. We have been speaking about $100 million overall aggregate investment to increase reliability. But part of that, you can see in these elevated idle and turnaround expenditures, some of the work just can't be capitalized, it has to be expensed. Not a surprise, a significant part of the increase in idle and turnaround expenses came from phosphates. And why is that? We not only extended the duration of our turnarounds, which impacted our production volumes, which impacted our fixed cost absorption, but we also spent more actual dollars in repairs and maintenance. These works, another reminder, are all with the goal to derisk not just our second half performance, but well into the future as we return to a sustained and more normal production output level. So therefore, we also expect Q3 idle and turnaround expenses to decline from Q2 to get to a more normalized level because the work has been completed to improve asset reliability. So now the bright part. Phosphates, for example. You know that everything hinges upon the volumes. As we said, 85% of our cash cost of conversion is fixed. So given the low production volumes, the unit cost metric of $126 per tonne in Q2 behaved exactly as it should. It is above our Investor Day target of $95 to $100 per ton, but only because of low production volumes. On a positive note, cash mined rock costs in Florida are the lowest in 10 quarters, $51 per tonne against an average of $55 per tonne in 2024. You're not seeing it yet because of the low volumes of finished product. But these results will flow into the blended rock costs once finished product volumes come back. In potash, the cash production cost per tonne was $75, up from the same quarter last year, again, due to less fixed cost absorption and lower yield, but it was down from $78 in the first quarter. And we conducted a turnaround at Esterhazy in Q2 this year versus Q3 last year, and the shift in timing impacted a lot of metrics year-over-year when you compare Q2 '25 to Q2 '24. It impacted production volumes, unit costs and turnaround and idle expenses. So again, as in phosphates, you should expect potash Q3 turnaround in idle expenses to decline from Q2. Mosaic Fertilizantes, so far, the nicest story. There, we have achieved $106 million of our $150 million cost reduction target. These cost reductions and the higher realized prices are behind the $150 million in EBITDA despite the bad debt expense of $18 million, net of recoveries. In Q3, with increased volumes, no further bad debt expenses and a recovery in distribution margins were bound to have an excellent quarter. The question is if we're going to be above $200 million mark or well above the $200 million mark. This will depend on management of sales volumes given the credit environment. And finally, for you to better model Mosaic Fertilizantes. This quarter, we added disclosure on production sales volumes in the result and outlook tables in the press release. We provide margins that are earned by these tonnes and we provide further breakdown of these tonnes in the performance data sheet. All this new disclosure, hopefully, will add some transparency to this segment. Back to cost reductions. We have achieved $150 million cost reduction targets established last year. How? On the back of Mosaic Fertilizantes as we discussed and SG&A alone. However, in SG&A, the bottom line is clouded because of the bad debt expenses and because of the noncash amortization of the large technology investment we made and that amortization started in Q3 2024. And so we also included in the appendix of the presentation and demonstration of the SG&A savings. And with this achievement, we are now extending our goal from $150 million to $250 million. Going forward, this additional $100 million in value capture is expected to be achieved by the end of 2026 and will come from further cost reductions by automating administrative functions, optimizing supply chain and other cost reductions in operations, gross margin optimization and fixed cost absorption as we ramp up our production levels. So the prospects here are very, very exciting. So to conclude, quarter 3 EBITDA in all segments is expected to be significantly higher than last quarter. With an extraordinary level of turnaround to improve asset health and reliability behind us. In phosphates, we expect volumes to increase. Cash conversion cost per tonne to decline significantly in the third quarter, turnaround and idle expenses to come down as well, and therefore, having strong EBITDA growth from Q2 to Q3. In potash, we're pedal to the metal, increasing production, sales outlook to take advantage of favorable market conditions. Mosaic Fertilizantes will be peak sales, peak margin season in Q3. We definitely have the wind at our back. With that, operator, please open the line for questions.
Operator: [Operator Instructions] And the first question will come from Ben Isaacson with Scotiabank.
Benjamin Isaacson: Just looking at the share price performance today, I was hoping you could parse out the noise from what has actually changed from your Investor Day for better or worse.
Bruce M. Bodine: Ben, thanks for your question. I assume you want to go through everything in Investor Day that has changed?
Benjamin Isaacson: I just want to understand why the market -- or why do you think the market is reacting so negatively to what seems like a couple of bumpy quarters, but nothing has really changed in terms of the main outlook since your Investor Day. That's what I'm trying to understand.
Bruce M. Bodine: Yes, yes. No, I appreciate the question. And I appreciate your report this morning as well. I thought it was well done. I think there's a question and even I know you've asked this in your report on how much of this extraordinary expense that we've all been talking about and that we documented in Q2 is reoccurring or is transitory or extraordinary. And I think that's one thing because how do you kind of bake into what the underlying performance was when you normalize things. No doubt, our production volume in phosphates was down from what we had on Analyst Day, and we've talked about that in a number of conferences. There was discoverables particularly at new wells on kind of our phos acid waste disposal handling systems on all 3 trains that needed to be upgraded. The final upgrade, as we communicated, we tried to pull that into June, just couldn't get the parts in time. We're targeting to have that done in mid-July. It ended up going all the way to the end of July due to parts availability. So that was the biggest change from a production, although we did guide in early June of what we anticipated there. And actually, we're right at the midpoint of guidance. But that is a definite difference in what we had in our Analyst Day numbers. As far as the extraordinary expenses, we've talked a lot about this and Doug into kind of what is kind of average on turnaround and idle expense for our active facilities. And although it's not a perfect closure because idle and turnaround always has some variability to it. We feel that about $50 million of that expense in phosphates, particularly was kind of non-normal and was truly due to the extraordinary efforts which we're happy to have behind us to get reliability and asset health back to where we need it to be to do exactly what we said in the Analyst Day, which is to get to that 8 million-tonne run rate. So everything else is actually trending quite good. Potash costs are a little bit higher with FX and the production mix with more run time from Colonsay, particularly in quarter 2, with Esterhazy being down, the horse rather in Q2 versus Q3, which is maybe more normal for turnaround. That cost difference probably was more highlighted and elevated. But listen, on Biosciences, we're making good progress on Fertilizantes as Luciano just highlighted in the prerecorded section. Really excited about what we're seeing in the underlying performance of that. And all of our Analyst Day targets, potash cost conversion cost as well as mined rock cost all are trending towards exactly where we wanted them to be on Analyst Day outside of maybe a little bit of impact of FX. That's a little bit more than what we would have thought at that moment in March earlier this year. So Ben, it's a great question. I think it's the phosphate volumes and, hey, when is execution going to come to bear. And how much of this large, extraordinary expense was reoccurring? And how much of that was kind of onetime.
Operator: Next question will come from Chris Parkinson with Wolfe Research.
Christopher S. Parkinson: A simple yet complex question. What was your run rate roughly in July? And how are we -- where are we trending in August and September, just essentially what's underscoring your confidence into the balance of the year. And when I take a look at Slide 8 as kind of the foundation for those comments, perhaps, it looks like Bartow pretty much has been there where it needs to be. New Wales and Riverview are in the process of just kind of getting there. And Louisiana looks a little uncertain. So if you could just hit on those remarks and piece that together for us, it would be greatly appreciated.
Bruce M. Bodine: Yes, Chris, I appreciate the question. Thanks, as always. So in July, run rate was not what we were hoping for. And primarily, what I said earlier is because of the large -- the delay of about 2 weeks on the third pumping system at New Wales. And listen, New Wales is our horse. Now that, that is complete, we're seeing exactly like we saw in the other 2 trains of that not being an issue and getting the elevated rates. It's still early in August, and listen, this went all the way to the end of the month. So we don't have a lot of free and clear run rate into August. But what we're seeing in the numbers is very encouraging. Louisiana actually is more encouraging than you may realize. I know our graphic, how we're trying to represent asset health is an interesting way to do that. But actually really encouraged by the numbers that we're seeing in Louisiana. And as you said, Bartow is kind of humming along right at its 2 million tonne annualized capacity without much of a hiccup. Riverview, all the major work is done, and we're excited in what the opportunity is that we're seeing there. And we just need to -- now the maintenance activities, there's nothing scheduled more in extraordinary work is to really just -- now that, that is out of the way, as Luciano said, in potash, putting the pedal down in phosphate and stringing together days, weeks, months, and we're very encouraged by what we're seeing. Hence, our guidance at 1.8 million to 2 million-tonne range. That's the confidence we have and what we're seeing and the confidence we have in what we've executed and got behind us going forward.
Operator: The next question will come from Joel Jackson with BMO Capital Markets.
Joel Jackson: So we have $50 million idle and turnaround one-off costs in Q2. You've been very clear about that in lots of different ways. You say that those costs are going down in Q3. I think what investors and shareholders really want to understand is these $50 million of extraordinary costs, how do these exactly ramp down? If you can give us as much granular as possible, is that $30 million in Q3, $10 million in Q4, 0 in Q1? Is it 0 in Q4? Please tell us.
Bruce M. Bodine: Yes, Joel, I'm not going to answer it the way you're asking because we don't guide on this on a quarter basis. But let me try this. As we look back historically at turnaround costs in phosphates, as an example, they're in the ZIP code on an annualized basis of $100 million to $110 million. It is lumpy because unit operations have different schedules for phos acid, granulation and sulfuric. So it's not that easy. And you will always have 1 quarter higher than another year-over-year because of that kind of lumpiness. But on average, I think a good number to model from an annualized basis for phosphates is about $100 million to $110 million. In potash, that number is going to be a different number. I know you asked about phosphates, particularly. And then you can look at the history there. I don't think the history is different in potash. But again, you look at what we had at Esterhazy, Q2, we executed a turnaround this year, in Q2 rather than what is more traditionally Q3, and that was to try to do the hydrofloat tie-in so that we had the 400,000 tonnes of additional capacity going into the back half of the year due to that high return capital project. So I know you'd like a perfect answer. There's no way to give you one. But hopefully, giving you a little more color on an annualized basis allows you to better appreciate what to expect on a more normalized ongoing basis.
Luciano Siani Pires: Joel. Luciano, I don't know if you had the time to go through it, but the presentation on our website has 1 slide, which is Slide 9, which gives the actual numbers for Q2 '24, Q1 '25 Q2 '25, then you can do some comparisons and you're going to...
Joel Jackson: Well, that's the question. That's the question I'm asking.
Operator: Your next question will come from Andrew Wong with RBC.
Andrew D. Wong: So maybe a couple of things here on the phosphate side again. First is, I think we're about to enter the typical hurricane season in Florida. So just curious like what has Mosaic done to harden the assets against any potential weather disruptions? How much is that factored into the Q3 guide? And then just a general question, and I guess Bruce has kind of answered it already, but like -- when we think back to the earlier parts of this year, it sounded like a lot of the work was set to be completed by Q1. But then there were other things that seem like they need more work like for example, the new gypsum handling systems. I don't think it was something that was previously mentioned or that we really had discussed. So just kind of curious, like as you're thinking about production going forward, like are there any items at all that still need any major maintenance that should support that run rate? Or are all of those things complete.
Bruce M. Bodine: Yes, Andrew, I appreciate that -- you got a 2-part question there. Hurricane season, yes, is approaching, and we do preparation and do crisis planning and practice on that front every single year leading into hurricane season and that has been complete. As far as hardening the assets, we've looked at our motor control centers, particularly those on the coastal areas given storm surge potential and made sure that those sit above kind of that flood stage probability given categories of storms. We've also gone through with our insurance carriers and made modifications due to their recommendations for wind improvements in a lot of our stationary buildings, particularly our warehouses with better venting and things like that to allow wind to pass through more easily rather than having a higher potential of ripping off a roof or damaging a roof. So there's a number and a host of things that we've done, again, looking at storm surge, looking at wind. The difficult thing that is hard to hardened for and what we do in preparation going into hurricane season is making sure we have freeboard in our gypsum stacks and clay settling areas is just accounting for how much rain you could get in any given storm. And if you went back to some of the storms we had late last year, one in the 1,000-year storm event is awfully hard to prepare for. So there's billions of gallons of water that can end up falling on our areas that we have to manage. And then we have to deal with that water, but we go to great lengths to make sure our free board -- and there's regulatory requirements around those as well with our state agencies that we have to comply with going into hurricane season and then putting in power back up, pumping back up for all sorts of contingencies as part of our game plan every single year. And then second part of your question was phosphate? Yes, Andrew, great question. We talk about that always, and we do with our reliability, maintenance folks, assessments of each of our unit operations. We don't see any obvious issues in the remainder of the asset base. So for us, any planned maintenance for asset health and reliability is truly now behind us from an execution standpoint. Those gypsum stack pumping systems, maybe we didn't talk about it on an earnings call, but -- in Q1, but we did -- we've talked about it in a number of different investor conferences. As we debottleneck sulfuric acid and put the pedal down, particularly at New Wales, we ran into because we haven't run in 4 years at these rates issues in phosphoric acid, particularly on our gypsum handling. As the rock quality has changed over the last 4 or 5 years, we're actually making more gypsum per tonne of rock feed than we had historically. So those systems just simply were a bottleneck that they didn't used to be. And it was not something that we knew until we got to actually trying to push to full rates. So that ended up being a throttle limiter at New Wales, and we had to actually replace all 3 phosphoric acid train gypsum pumping systems between April, May, June and July. We don't see anything else like that in any of our other facilities as we've ramped up throughout the last several weeks.
Operator: The next question will come from Jeff Zekauskas with JPMorgan.
Jeffrey John Zekauskas: Can you talk about how tariffs have raised the cost of imports of phosphates into the United States on some kind of percentage or per tonne basis?
Bruce M. Bodine: Yes, Jeff, thanks. And listen, talk about a dynamic subject is that it seems to be changing on an almost weekly basis these days again. But in general, imports of phosphate have a 10% tariff on top of those, depending on the location, but most locations have that. There's nothing on Russia as of today, but the threat that outside of the CBD -- their CBD duties. But as far as tariffs go, you've seen in the press as we all have, that there is a threat of the Russia-Ukraine ceasefire doesn't happen, then maybe we would put more tariffs on Russia. But as of today, there's none. But Jenny has got a little more detail that I'll let her go into. Jenny?
Yijun Wang: Sure. Jeff, I think Bruce talked about the tariff impact to the market. which actually indirectly supported the market in the U.S. as this reduced input. Year-to-date, we see around 20% of the import reduction for both P and K. It looks like it is going to continue. In terms of the direct impact to our own business, we -- our raw materials on sulfur and ammonia. Sulfur, majority of the sulfur for our own production in North America is coming from the Gulf, meaning there's no impact on the -- from the tariff. We do buy some solid dry sulfur from Canada, which is exempt from the USMCA agreement. In terms of ammonia, majority of ammonia that we use or consume in the U.S. are coming from 2 sources. One is contracted with the suppliers in the U.S. The second part is our own self-produced in Faustina. We do buy a small percentage of ammonia from the market in this bucket. We have a very small volume coming from Trinidad, which we will need to pay 15% of the import tariff. That volume is very small. So I would say the direct impact as of today to our cost from raw material side are probably minimum.
Bruce M. Bodine: So Jeff, that's probably more of an answer than you asked in your question, but that gives general tariff response on not only what's happening to competitors coming into North America, but -- into the U.S., but also impacts on our own business due to tariffs.
Operator: The next question will come from Vincent Andrews with Morgan Stanley.
Vincent Stephen Andrews: I've got a follow-up on question 8 -- sorry, on Slide 8. That asset health target that you have of 85% to 95% is based on turnaround timing. So can you just help us better understand 85% to 95% means it could be 1 or the other depending on how heavy your planned turnarounds are in a particular year? Is that correct? And then is it also not assuming that there are any unplanned outages in the year? And is it your expectation that with all of the work that you've done over the past few years on a go-forward basis that the amount of unplanned outages, let's leave hurricanes aside for argument's sake, but the amount of -- to kind of run of the mill unplanned outages would be de minimis. Is that correct?
Bruce M. Bodine: Vincent, great question. And just I know this is an unusual metric. It's not operating rate, and that was on purpose. But yes, you kind of nailed it. So that pie chart will start to open up the piece of the pie from 95% to 85% as duration -- I'll use an example of sulfuric acid plant turnaround is on a 3-year cycle. So in year 2, from the turnaround that you previously did, the asset health is starting to tick down a little bit until you hit your third year turnaround, which then it goes back to full asset health again. So it's just a timing issue of asset health just by nature of erosion and corrosion on piping and mechanical equipment incrementally changes in any moment in time from its last turnaround. The reason it's not 100% is that it does allow for normal unplanned downtime, which is just run-of-the-mill stuff that happens all the time, not these extraordinary unplanned downtimes that we've kind of seen more prevalent in the past. So the answer is, yes, you should think about it that there's no extraordinary unplanned downtime in those numbers, and we don't anticipate that being normal on a go-forward basis. Now that the asset health is where we're showing on Slide 8 which is where we're targeting given all the extraordinary efforts and spending and work that we've done over the last few years.
Operator: Next question will come from Aron Ceccarelli with Berenberg.
Aron Ceccarelli: I have a question on Fertilizantes in fact. I see that you talked about shrinking perhaps your customer base because you're focusing more on better credit profile. At the same time, you are adding capacity in Palmeirante and now you're talking about $200 million or even more than $200 million EBITDA for next quarter. I'd like to understand, we also have Bioscience becoming EBITDA positive later in the year. How should we think about the earnings power of this business in a mid-cycle scenario.
Bruce M. Bodine: Yes, Aron, thanks for the question. I know that the 2 may seem to conflict with each other, but it is just part of our credit -- our risk management process with customers given the credit situation in Brazil and knowing that if credit continues to be a pervasive issue with some customers, we may choose not to do business, and that's why we have a guidance range that is probably wide as it is and that we're saying that tend to be in Fertilizantes, maybe on the lower end, with that risk included. Now that may or may not happen, but we are not going to take undue risk, and I'm going to let Jenny kind of talk a little bit more about that. And then maybe turn it over to Luciano to talk a little bit about his view on forward look financial performance in that Fertilizantes segment. Given everything that's changed fundamentally from a cost structure standpoint as well as our growth and distribution capability with Palmeirante and what we have planned over the next several years to continue to grow organically with latent capacity as the market continues to grow. So Jenny?
Yijun Wang: Sure. Thanks. In terms of Brazil, I would think the credit risk are actually related to A, the macro environment with high interest rate, but also the overall ag commodity prices. So as we are in the market, it is cyclical. So you will see the price. The market will come back. The expansion in northern part of the country in Brazil, we're not only looking into the current season or next season. We're looking at the growth of the overall agriculture expansion in that part of the market. And also we see a very -- the growth itself, it is going to come along in the next few years. So is that contradictory to our smaller customer base? I would say, I would argue as the market growth in northern part of the country, our customers are growing in that part of the country as well, especially those customers, the end users like mega farmers and some of the major trading companies, they're expanding their presence in the market. So we are growing as our customers are growing and the customers, they have a much more solid credit situation growth in that market as well. So I would say it is not really contradictory. It is actually complementary as we go through that growth journey in Brazil. I would -- in terms of the Bioscience, we are getting into the stage by end of the year that we're going to be EBITDA positive. And from next year, the growth are going to be from the new product launches. This year, we have launched 2 new products already, and we have 3 new in the pipeline to be launched in the rest of the year. And next year, we have new products to be launched as we are going through regulatory process. The growth is also coming from the customers, the new customers and also new crops. And I can prove to you that the first half of Bioscience growth not only coming from new customer, new crop and also existing customers. Those who have used our bioscience product, this year, they can see the benefit of using PowerCoat and BioPath, especially in the environment when fertilizers are more expensive, which helps them to improve the efficiency of these expensive fertilizers. So in terms of the financial projections, I would ask Luciano to provide you some insight. Lastly, I would also say, Luciano probably also can help some of the ideas on funding financial solutions in helping us navigating this credit challenged market environment in Brazil this year as well. Over to you.
Luciano Siani Pires: So Aron, if you look 5 years from now, we have targets on the Investor Day deck to kind of reach around 13 million tonnes of sales in Brazil. If we use, for example, our -- the upper end of our $30 to $40 distribution margin. And so you get around the ballpark of $500 million just for distribution. If you get to the -- we want a low end for that for example, just picking a number like $10 million times the lower bound for the distribution margin times 30, you would get to $300 million. So $300 to $500 million would be kind of a range and an aspiration to grow into that range for just the distribution portion. We now speak also about $75 to $80 per tonne on current market for the tonnes that we produce, which is around 4 million. So that gets you another 300 million to 350 million for our own tonnes. So you add -- so you see that the earnings potential for Mosaic Fertilizantes and when you add also the coproducts, which are around $40 million per quarter, could actually reach to $1 billion over the long term. And that's definitely what we are going to pursue. We'd like to call attention as well. We don't disclose, but maybe in the future, we will that our China business is becoming more material. So we had around $30 million in the first half of this year. So we may have around $60 million and there's a potential to double or triple this number very quickly. And in Biosciences, we continue to pursue our target of $250 million EBITDA longer term. The speed to which we will attain it is more dependent on regulatory approvals for some of our products than anything else.
Operator: The next question will come from David Symonds with BNP Paribas.
David Symonds: So first question, if I back out the implied specialties price from the phosphate division, then it looks like the price realization was quite low for phosphate specialties. Is there any reason for that? If you could talk through what happened with MicroEssentials pricing in the quarter. Could you give an idea of what's happening on the ground in Brazil? So you mentioned the change to government financing support for farmers, and we've seen potash prices stall a little bit in Brazil over the past few weeks. So I don't know, it's interesting to hear your very positive outlook for Fertilizantes at the same time was talking about potentially some headwinds in the Brazilian market. Maybe you could elaborate on that. And then I think you mentioned in the prepared remarks that you expect the third quarter to be the best quarter for some time. Given the share price reaction today, and given the consensus, I think, it was around $850 million EBITDA for Q3, could you maybe give a bit more color on those remarks, too?
Bruce M. Bodine: David, can you clarify your question on specialty phosphates. I think none of us kind of followed that. Are you saying MicroEssentials margins? What particularly are you asking? So we answer that.
David Symonds: Yes, sure. So if I take the ASP and the phosphate division and then I back out the realized DAP price using DAP volumes and the price you give for DAP and the remainder, I'm taking as a kind of benchmark for the specialties pricing. And that seemed to fall quarter-on-quarter with worse realization in the sort of in the rest of the business, if I take out the DAP part. So just curious whether that's a quirk of the calculation or whether there's anything happening in specialty pricing in Q2?
Bruce M. Bodine: Yes. I think, David, that's one -- that's probably better handled off-line to get into more detail because there's feed products and there's a lot of stuff that go into that calculation. And we're already running up on time. So not trying to avoid that question. The second part was more Brazil, what's going on the ground, I think, is what you said?
David Symonds: Yes, exactly. And maybe some comments specifically around the government's reduction in support for pharma financing of input costs.
Bruce M. Bodine: Yes. I'm going to turn that over to Jenny and if Luciano has got anything to add as well. But Jenny, go ahead.
Yijun Wang: Yes. So yes. So David, let me start from Brazil. We have a very strong first half of the market where it was supported by the last of safrinha corn crop. And the first half of the market was very strong. What we're seeing is really a slower, much slower soybean summer season. The farm economics are challenged given the higher input prices and the lower crop prices and also the credit challenge has made the market move much slower. What we are saying on the ground at this point of time, normally only 5% of the summer season fertilizers to be purchased. But this year, around 20% to be purchased which shows how slow this market, it is. We are telling the customers to say the window is closing. In order to get their fertilizers on the ground, they won't need to get up to the purchases. Otherwise, we will see some significant logistic challenges. The bright side is really on the next safrinha or second corn crop, where the farmers are really on pace of selling their crops and also buying fertilizers. In fact, the farmers buying their future corn fertilizers, already they've bought 35% for the next second corn crop versus 25% as average. So the real challenge is really in the current summer season for soybean and the credit issue is mainly challenge. And we can tell you the customers on the ground are really trying to find any possible solutions. Probably government support is one of them, which I can -- I need to ask Luciano to comment.
Luciano Siani Pires: Very quickly. So high interest rates, yes, less government support what's happening is that the big farmers, they continue to do well. But the small ones are being squeezed. You're seeing consolidation. So when we talk about credit issues is just on that range of small farmers and the retailers that buy and sell and have a lot of working capital needs. So the planted area is actually growing because the big ones are making up for the difficulties of the small farmers. So that's the situation. It's a consolidation of the market driven by tightness in financial conditions.
Operator: Next question will come from Richard Garchitorena with Wells Fargo.
Richard Garchitorena: So maybe just shifting to potash, you took the full year production guidance up. Just curious, maybe on the third quarter, you had basically in the second quarter, idle cost of $26 million -- sorry, $34 million in potash. Do you expect to get any of that back in the third quarter? And then maybe just bigger picture, with the Esterhazy hydrofloat ramping up. How should we think about 2026 production levels if the market continues to stay strong.
Bruce M. Bodine: Yes, Richard, third quarter turnaround costs because Esterhazy would usually be it, and it's usually in that $25-ish million to $30 million ZIP code for a turnaround in Esterhazy was pulled in the second quarter. We don't have that in the third quarter. Belle Plaine still has a turnaround that straddles third and fourth quarter. But you should expect, as we've said, to see significant decrease in third quarter on turnaround costs in potash. As far as running our facilities, we're going to continue to run Colonsay to meet the strong demand that we're seeing, hence, where we raised guidance. And that's really coming from Southeast Asia, we got good solid demand in the Americas. But really, where we're seeing good growth is on the international side. In fact, Canpotex had a record shipment in the first half of the year and is anticipating something similar in the second half of the year given the strong demand. So there's good demand at the right value proposition for us to run all of our assets right now. How does that look going into 2026, given that hydrofloat is now ramping back up. We're going to have to continue to evaluate that. If Canpotex and Mosaic domestically have enough share and enough volume and demand exists for our products. And the value creation is there. We'll continue to run those facilities. But it's too early to say outside of running Belle Plaine full and Esterhazy full, what we're going to do with the Colon at this moment in time until we get a little bit closer to that to quarter 1 and quarter 2 of next year.
Operator: Next question will come from Kristen Owen with Oppenheimer.
Kristen Owen: I actually want to finish here on the beginning question, and forgive the simplicity of it, but asking on behalf of myself as the newcomer and on behalf of some of the shareholders, the more broad shareholder base that you've attracted post Investor Day. Given what you know today about your operating rates, you've given guidance on pricing, you've given guidance on volume, you suggested you're sold out in cost for 3Q. How much better can 3Q EBITDA be versus 2Q. Any sort of quantification of that sequential step-up would be extremely helpful.
Bruce M. Bodine: Well, Kristen, it's kind of like earlier question on guiding to turnaround costs. We just don't guide on EBITDA, but maybe Luciano can help give you some things to think about as maybe you're modeling because the growth should be pretty significant based on those numbers from Q2 to Q3. So Luciano?
Luciano Siani Pires: So Kristen, for example, starting with phosphates. So stripping margins are going to go up, right? So we're guiding $700 to $720 per tonne prices compared to $668 realized this quarter and sulfur and ammonia prices might be stable. So if you -- that change in margin times the tonnes of the queue is an increase. Then you have phosphate volumes increasing. You can, for example, use the changing tonnes that we're guiding times, even the Q2 margins. We have turnaround and idle costs are coming down. We've discussed this extensively, so another plus. Conversion costs are going to come down, another plus. So conversion costs per tonne could come down, you can make an estimate and multiply it by the tonnes, blended rock costs. So in other words, a lot of tailwinds. When you go to potash, same thing, prices are -- we're guiding $270 million to $290 million compared to $261 million. So that increase flow directly into the bottom line. You can multiply the changes by the difference in volumes. The volumes stay kind of stable. Production costs are going to certainly increase -- decrease with hydrofloat coming in. Turnaround and idle expenses, we also discussed they're going to come down another estimate you could do. Mosaic Fertilizantes EBITDA, we kind of guided it over $200 million and maybe would be well above depending on how much we sell. So a lot of levers that a good estimate should consider to see what's going on in Q3 and certainly, it's going to be a much better number.
Bruce M. Bodine: Well, listen, that's all the time we have for this call. I apologize to the 5 or 6 folks that we didn't get a chance to get to. I really appreciate the interest in our call today at a good lineup. I think we talked about a very robust set of topics. So I appreciate that, but I encourage you to follow up with the IR team and ask your questions there as they're well prepared to talk about that. So I'd like to close our call by reminding you of our key messages. First, our work to improve asset reliability is paying off, and we expect strong production performance as we talked about for the remainder of the year. Second, fertilizer market fundamentals are compelling with tight supply and good global demand driving prices higher for both potash and phosphate. Third, our Brazil business is performing very well, and we expect significant earnings growth in the second half of this year. And finally, we're continuing to derive value from our extensive market access. We have the ability to move tonnes to the markets where demand is highest and we have the pipelines to introduce new products like our Mosaic Biosciences innovations at scale. All in all, we've done the work necessary to set Mosaic up for a very strong second half. So again, thanks for joining our call, and have a great safe day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.